Operator: Good day, and thank you for standing by. Welcome to the Q4 2024 Spectrum Brands Holdings Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Joanne Chomiak, Senior Vice President and Treasury. Please go ahead.
Joanne Chomiak: Thank you, Gigi. Welcome to Spectrum Brands Holdings Q4 and full year 2024 earnings conference call and webcast. I'm Joanne Chomiak, Senior Vice President of Tax and Treasury, and I will moderate today's call. To help you follow our comments, we have placed a slide presentation on the event calendar page in the Investor Relations section of our website at www.spectrumbrands.com. This document will remain there following our call. Starting with slide two of the presentation, our call will be led by David Maura, our Chairman and Chief Executive Officer, and Jeremy Smeltser, our Chief Financial Officer. After opening remarks, we will conduct the Q&A. Turning to slides three and four, our comments today include forward-looking statements, which are based upon management's current expectations, projections, and assumptions and are by nature uncertain.
Joanne Chomiak: Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors statements outlined in our press release dated November 15, 2024, and our most recent SEC filings, and Spectrum Brands Holdings' most recent annual report on Form 10-K and quarterly reports on Form 10-Q. We assume no obligation to update any forward-looking statement. Also, please note we will discuss certain non-GAAP financial measures in this call. Reconciliations on a GAAP basis for these measures are included in today's press release and 8-K filing, which are both available on our website in the investor relations section. In response to recent commentary and review, we have updated certain adjustments within our consolidated adjusted EBITDA and adjusted EPS performance metrics.
Joanne Chomiak: As a result, prior year results have been recast from what was previously published. The updates only affected consolidated numbers and did not impact any business units that specific metrics. In providing comparisons to prior periods, we will use the recast numbers unless otherwise stated. Finally, we encourage you to listen to our remarks today alongside with reading Spectrum Brands press release and 8-K issued today in your our annual report on Form 10-K once it is filed with the SEC. Now I'll turn the call over to David. David?
David Maura: Hey. Thank you, Joanne. Good morning. Thank you everybody for joining us today. On behalf of our company, our management team, and our board of directors, we are really pleased to share with you our fiscal 2024 accomplishments and successes. For fiscal 2024, we kept the promises that we made to ourselves and to you. And we delivered and exceeded our annual operating plans on virtually every metric. We have restored operational momentum to our businesses. With best-in-class operational efficiency, fill rates being in the mid-nineties now, and we have progressed from a weak working capital position to a company with best-in-class working capital management capabilities today. Our investments in our businesses have returned our company to revenue growth in the third and fourth quarters of fiscal 2024, as we upgrade our capabilities in commercial operations, innovation, marketing, and advertising. Adjusted EBITDA grew by over 20% fiscal 2024, and we believe that is the best if not one of the best performances in our entire industry. Our 20% EBITDA growth was achieved despite an incremental $62 million that we into our brands, through new R&D marketing and advertising initiatives. We turn to our balance sheet, we actually have the strongest balance sheet in our peer group. And we ended fiscal 2024 with net leverage below 0.6 turns. This balance sheet strength gives us tremendous operational flexibility and, frankly, strategic optionality. We intend to use it to continue to drive our organic operating performance, and our shareholder value by buying back our shares. Free cash flow in fiscal 2024 was $177 million and that was despite over $100 million that we invested to unwind AR factoring across our entire company. I am also excited to share that our largest business unit, our North America Global Pet Care Company, is now running on our S4 HANA ERP platform, which was implemented in the early part of October. We intend to continue to upgrade talent and build a higher performance culture at Spectrum Brands, which is the precursor to even better financial performance in the future. To summarize, in fiscal 2024, we delivered on our promises, we have restored momentum to our operating businesses, we have set standards of excellence, and we have laid the foundation for an even more successful future. As I like to say to the troops internally, we got debt-free in 2023, so we could achieve a lot more in 2024. And now it's time to thrive in fiscal 2025. Let's look at a few highlights in our business units. In GPC, our investments drove growth in adjacencies like cat treats, dog and cat food toppers, and a new species of glowfish. In spite of the approximate $20 million impact from SKU rationalization, GPC's fiscal 2024 net sales grew by 1.1% and adjusted EBITDA increased by a healthy 13.4%. In Home and Garden, we invested in telling consumers about our new innovation, including our Spectracide One Shot, and Cutter Eclipse, and guess what? It paid off. SpectraSite and Hot Shot took share this year with net sales increasing 7.8% and its adjusted EBITDA grew by an amazing 25.2%. In HPC, we invested in our Remington One campaign and a new innovation for the upcoming holiday season. And in driving e-commerce sales. Organic net sales were relatively flat despite the challenging North America consumer demand in the first half of the year, and adjusted EBITDA increased an incredible 74.7%. I'm really pleased with the EBITDA growth that we experienced in our appliance unit this year. It's truly remarkable. We believe that inventory at retail is now generally back to normalized levels. And we're starting to see the replacement cycle build for small kitchen appliances. On a company-wide basis, growing EBITDA over 20% while increasing investment in our brands by a further $62 million is, I think, a great testament to the quality of our EBITDA and earnings growth this year. Our investments paid off not only in fiscal 2024, but we expect them to continue to pay off as we head into fiscal 2025. Our internal teams and advisers continue to pursue the sale of our HPC business. And we are actively engaged with multiple interested parties on the M&A side. With geopolitical factors contributing to a longer time frame than we originally anticipated. As a result, we continue to simultaneously pursue our dual track sales spend separation strategy and both tracks remain in motion. As we do with all transactions, we will evaluate and consider what's in the best interest of our stakeholders at each step along the way. And as we have done throughout the year, we'll continue to provide updates on our earnings calls or sooner if there's news to share. As a further sign of confidence in the future performance of our company, we have just increased our quarterly dividend payout by 12% to $0.47 per share per quarter earlier this week. The new quarterly dividend rate represents an annualized dividend yield of 2% based on Wednesday's closing stock price. As the growth wheel gets in motion, for our net sales, adjusted EBITDA and cash flow, and gains momentum, we believe the time was right for us to increase our dividend payout and share some of our success with our investors. I could have you now turn to page seven. And the strategic priorities we've set out for fiscal 2025. We plan to continue to build on the strong fiscal 2024 performance and continue to invest in future of our businesses. We plan to invest in our brands to drive long-term growth. Building on the confidence we've gained in fiscal 2024. We will strategically continue our brand-focused investments in fiscal 2025. Year on year, we expect to increase these investments will primarily be in R&D, marketing and advertising to drive profitable top-line growth. As we did in fiscal 2024, also be prudent in making these investments and we'll gauge their effectiveness along the way. Investments will be made across all of our businesses and we expect a more consistent rate of spend per quarter. We plan to invest in our inventory to support sales growth this year. And further e-commerce expansion. E-commerce was a significant source of growth for us in fiscal 2024, as we saw consumers switch their switch to shifting their buying habits even more online. We want to win wherever consumers are buying and shopping. To further enable our success in serving our e-commerce retailers, we expect to make strategic investments to increase our inventory levels, by approximately $20 million to $25 million to capture incremental growth in sales and to maximize our fill rates. We plan to invest in innovation to expand in our core categories and to enter new adjacencies. We have a very strong portfolio of brands. Have a lot of number one positions in their respective categories. And through investing in these brands, and expanding their reach into current and new adjacencies, we expect to drive top-line growth. Just picking one example is our recently launched nationalized national ad campaign for our Good and Fun brand. Good and Fun is the number one brand in dog chews. And we believe we can expand it now into treats, food toppers, and other adjacencies. We intend to continue to invest in our operations. We want to continue to drive cost improvement, quality, and safety. Our operational improvements have been one of the most important contributors to our success. Nothing runs well on a consumer products company if your operations are functioning at a very high level. So we will continue to support our ops teams to ensure they can deliver for the company maintaining a very strong S&OP process, and focusing more on quality and safety across the entire organization. Will continue to invest in our operations for further efficiencies also wherever possible. We believe that staying lean and approaching every day with a lean mindset is imperative to sustaining the operational improvements we've worked so hard to achieve. A few minutes, you'll hear from Jeremy about how the recent storms in the southeast have increased consumer demand for some of our H&G products, Home and Garden. And beyond that, as a home essentials company with a mission to make living better at home, I'm really proud to let you know that our teams jumped into action to help those most affected by these storms. Our donations to affected communities in the Western North Carolina area included Spectracide wasp and hornet spray, repell insect repellent, Rejuvenate mop kits, Nature's Miracle Pet products, and, yes, our number one good and fun dog treats. I'm proud of our commitment to making a positive impact in the communities in which we serve. We can now turn our attention to slide eight. And we'll talk about our earnings framework for fiscal 2025. Sitting here today, we currently expect net sales to grow low single digits compared to fiscal 2024 across all three of our business units. The investments in innovation and brand building we made in fiscal 2024 will help drive this top-line growth in fiscal 2025. We continue to expect consumers to be cautious as they face uncertain geopolitical and economic backdrop continue to build. We expect the replacement cycle, however, for kitchen appliances driving our top-line growth. We generally have assumed that retail inventory levels are healthy. And from an adjusted EBITDA standpoint, we expect adjusted EBITDA to grow mid to high single digits compared to fiscal 2024's adjusted EBITDA excluding investment income. The incremental EBITDA is coming from volume growth and cost improvements and it will be partially offset by incremental brand-focused investments and inflation, particularly from ocean freight, and tariff exclusion and expiration headwinds. For adjusted free cash flow, we're now targeting another strong year with approximately 50% conversion of our adjusted EBITDA. Our winning playbook has not changed, and we continue to be keenly focused on our need to deliver on our commitments to our investors. Throughout the year, we'll be prudent in making investments and managing challenging economic conditions. We will control what we can control and we'll continue to focus on earning and maintaining our investors' trust and confidence. You'll now hear more from Jeremy on the financials. And you'll hear updates on additional business unit insights and then I'll join you back to close out and for Q&A. At this time, I'll turn the call over to you, Jeremy.
Jeremy Smeltser: Thanks, David. Good morning, everyone. Let's turn to Slide ten for a review of our Q4 results. We'll start with net sales. Net sales increased 4.5% and excluding the impact of $2.7 million of unfavorable foreign exchange, organic net sales increased 4.8%. Organic net sales were higher primarily due to growth in controls and repellents categories and normalized retailer inventory levels in home and garden. Strength in both home and personal care categories for HPC with new Black and Decker listings and continued growth in e-commerce. And a strategic pull forward of orders in GPC by retailers in preparation for our S4 HANA ERP implementation. Gross profit increased $43.6 million and gross margins of 37.2% increased 420 basis points. Driven by the favorable impact of cost improvement actions, operational efficiencies and inventory actions in the prior year, partially offset by inflation in ocean freight. SG&A expense of $253.9 million increased to 34.1% of net sales driven by increased innovation, marketing and advertising investments in the business. Operating income increased to $21.9 million. Our GAAP net income and diluted earnings per share decreased due to lower interest income and higher income tax expense, offset by increased operating income and lower interest expense. Diluted EPS also benefited from the lower share count. Adjusted diluted EPS decreased 13.4% due to the lower adjusted EBITDA partially offset by lower interest expense, lower income tax expense, and lower share count. Effective tax rate for the quarter was 23.8%. Adjusted EBITDA decreased 38.2%. But excluding investment income, adjusted EBITDA declined $12.3 million to $68.9 million driven by the increased brand investments of $26 million, $12 million more than we initially planned at the beginning of the quarter. As our top-line growth accelerated throughout the period, we made the decision to increase our investments and improve momentum heading into 2025. Let's turn now to slide eleven. Q4 interest expense of $6.7 million decreased $14.2 million. Cash taxes during the quarter of $9.2 million were $5.3 million higher than last year. Depreciation and amortization of $25.6 million was $2.1 million higher than the prior year and separately share-based compensation decreased by $0.1 million. Cash payments towards restructuring, optimization and strategic transaction costs were $8.4 million down from $18.4 million last year. Moving now to the balance sheet. The company had a cash balance of $369 million approximately $491 million available on our $500 million cash revolver. Debt outstanding was approximately $0.6 billion and consisting of approximately $0.5 billion of senior unsecured notes and $81.6 million of finance lease obligations. We ended the quarter with 0.56 turns of net leverage. Capital expenditures were $13 million in the quarter versus $14.7 million last year. Turning now to slide twelve and an overview of our full year results. Net and organic sales increased 1.5%. The sales performance was driven by improved inventory health, and favorable weather in our home and garden business, as well as continued strength in the companion animal category in our global pet care business. While full year home and personal care net sales were slightly down, driven by softness in North American small kitchen appliances, particularly in the first half, we did return to growth in the second half. Full year gross profit increased by $185 million and gross margins of 37.4% increased 570 basis points. Largely driven by lower cost inventory and inventory related expenses, cost improvement initiatives and our increased volume. Adjusted EBITDA increased to $371.8 million and excluding investment income, adjusted EBITDA increased 20% to $319.2 million. Primarily driven by the gross margin improvement, a reduction in operating expenses, increased volume and favorable interest income. As David mentioned, adjusted free cash flow was $177 million despite headwinds from unwinding all of our global AR factoring programs. Represents a nearly 50% conversion of EBITDA. During the year, we were able to renegotiate terms with a number of significant suppliers to more closely align our payables and receivable terms. We maintained a healthy inventory profile fueled by our S&OP process, and we actively manage our CapEx investments. Now let's get in the review of each business unit to provide detail on the underlying performance drivers of our operational results. I'll start with Global Pet Care, which is on slide thirteen. Reported net sales increased 3.5%. Excluding the impact of favorable foreign currency, organic net sales increased 2.9%. Companion animal sales increased by mid-single digits offset somewhat by high single digit declines in aquatics hard goods. In North America, companion animal sales grew from strong e-commerce dollar channel, and food and drug sales offset by some softness in mass and pet specialty. On October third, the GPC North American business went live on S4 HANA our new ERP system. In anticipation of a typical system transaction transition, which includes ordering and shipping blackout periods, during the days leading up to and after go live, GPC partnered with our retail customers to accelerate certain purchases into the period before implementation, to ensure the retailers have sufficient supply. Caused approximately $10 million of sales to be realized in the fourth quarter instead of the first quarter of fiscal 2025. Our go live was successful and GPC resumed normal operations within days in line with our expectations. In EMEA, companion animal sales grew this quarter where we also saw strong e-commerce sales and higher sales for our Goodboy and dog and cat food products. In the aquatic segment, global sales of consumables were up low single digits but were offset by double digit declines in non-consumables such as tanks and filtration systems. We saw sequential softness in global sales compared to last quarter, when organic net sales were relatively flat to prior year. In addition to continued softening consumer demand, our B2B business is being impacted by changes in the commercial landscape. As businesses adjust their capital investment plans. Global e-commerce sales grew mid-single digits this quarter coming in at close to 25% of global sales for the quarter and the full year. We continue to be excited about the innovation we launched in fiscal you may recall, identified cat treats as an adjacent category that presented expansion opportunities for the business. We entered this emerging category with our Miyawi and Good N Tasty brands during fiscal 2024, we continue to gain momentum in this space. Our cat treats have secured several listings at major national chains that will be on shelf and online in fiscal 2025. And we are optimistic that we will see healthy sustainable growth in cat treats with our robust innovation pipeline. Our Ferminator consumables saw strong growth with the introduction of our new tub free line of deshedding sprays wipes, and easy to use combs with foaming shampoo. Leveraging Goodboys' number one UK dog treat position, we entered the West Dog Food category this quarter with consumer influenced home faves formulas. And in the US, we are in the early stages of launching dog food top under the Good N Tasty and Good Boy brands. We believe we can penetrate this emerging adjacent category by leveraging our R&D capabilities, our supplier relationships, and our strong brands. We've been selling these items online for just a few weeks. And the early results are promising. In aquatics, we had our most successful launch of the Glowfish new species in GPC history with the launch of our glowfish angelfish. The entire Glowfish brand grew this quarter from the Halo Effect of the Angelfish launch. We are confident that the innovation investments we made in fiscal 2024 put us in a stronger position to start fiscal 2025. Adjusted EBITDA of $44.3 million is $9.2 million less than last year. While GPC's Q4 gross margins improved by 70 basis points compared to last year, we're up 460 basis points for the full year. We invested part of the gross margin improvement in driving growth in the quarter and for next year. Throughout the year, GPC has sequentially increased its brand-focused investments ending with its highest investment level quarter. In Q4, GPC almost doubled its level of marketing, promotions, and brand-focused investments. Compared to last year, spending over $12 million more than in 2023. These investments supported are recently launched and upcoming innovation address competitive pressures given consumer dynamics, and created new assets to support national campaigns launching through fiscal 2025. Adjusted EBITDA was also impacted by incremental volumes, operational productivity improvements, and incremental trade programming. For fiscal 2025, we expect the positive trends in companion animal consumables categories to continue with pressure in the first quarter from the S4 HANA sales pull forward. For the year, we expect consumers to be cautious during challenging economic conditions. Many of GPC's brands are premium brands. And we are seeing the impact of a strained consumer on these brands more than our other business. We remain cautious about aquatics, especially in hard goods, where demand continues to be soft. In total, we expect fiscal 2025 to grow at a lower rate than our long-term target. Moving out of home and garden, which is on slide fourteen, fourth quarter reported net sales increased 7.7%. Double digit sales growth in the controls and repellents categories and low single digit growth in household were partially offset by a decline in the cleaning category. Most of our major retail partners stayed in the lawn and garden category longer this year to take advantage of the warmer weather's extended growing season. Continuing to allocate promotional space to our categories later into the quarter. This drove higher sales volumes in the controls category including especially strong WASP and Hornet sales and support of our area and personal repellent sales during this category's highest POS quarter. Storms in the southeast also drove higher consumer demand for personal air and area let's. While the warmer weather created a natural shift in consumer demand away from the household category, since insects remain outdoors longer. We were pleased that our sales in this category grew low single digits and continue to take share. In cleaning, trends have been improving throughout the year, we plan to continue investing in advertising and other brand activation to support this category. We continue to see a strong correlation between retailer orders and POS this quarter, as retail inventory levels are substantially back to normal. E-commerce sales grew mid-single digits this quarter, and represented high single digit percent of sales for the full year. Throughout fiscal 2024, Home and Garden increased its brand building investments by over 75%. With a focus on advertising and marketing, to support the rollout of our new innovations. We introduced Spectra Side One Shot and the new Cutter Eclipse model both of which were successful in driving top-line growth and expanding the reach of our brands. During this past quarter, we created programs targeted to the extended fall season. Our continued investments in brand-focused marketing and advertising, helped drive demand toward our household products during an otherwise challenged fall season for the category. Helping us take share in wasp and hornet and herbicides. We were proud to see Better Homes and Gardens magazine recently recognized three Spectrum Brands products. Spectracide, Hot Shot, and Ecologic. Among its top roach killers of 2024. We are pleased with the top-line growth our investments drove in fiscal 2024 and are confident that these investments will set up Home and Garden for continued growth in 2025. This quarter's adjusted EBITDA of $19 million is $2 million lower than last year, and adjusted EBITDA margin declined by 270 basis points. The lower EBITDA was driven by a greater than $5 million increase in brand building investments, shifts in variable operating costs and other items offset by higher volumes positive pricing, and favorable mix. This has been a great year for Home and Garden. After a difficult fiscal 2023, resulting from retailer inventory strategies and non-optimal weather conditions, the business improved dramatically in fiscal 2024. Sales grew 7.8%, gross margins increased 530 basis points, and adjusted EBITDA increased 25.2%. We are particularly pleased with the consumer reaction to our new innovations and increased. With the exception of certain controls products, which have an early season demand, we believe most retailers ended the season with normalized inventory levels. Across most of our categories and expect POS and retailer orders to be relatively aligned in fiscal 2025, building inventory later in the season with some softness early in the season to inventory levels for certain controls products and an anticipated cooler start to the season. We continue to work closely with our retail partners to understand consumer demand expectations and how that translates into our production and shipment plans. And finally, home and personal care, which is on slide fifteen. Reported net sales increased 4.1%. Excluding some unfavorable foreign exchange, organic net sales increased 5.4%. The sales increase was driven primarily by higher sales volume, offset somewhat by promotional investments. Both home and personal care categories grew organic net sales by mid-single digits. Consistent with recent trends, e-commerce sales accounted for approximately 25% of HPC's global sales in the quarter and the full year, and we had another strong result from Amazon Prime Day in early October. Overall, North American sales declined mid-single digits with slightly positive sales in home appliances offset by mid-single digit declines in personal care. In home appliances, new listings such as for our Black and Decker ice crush blender and continued strong performance of the Emerald line, offset sale declines from two retail bankruptcies. We are pleased with the low single digit growth we are seeing in some of our home product categories, especially in coffee and garment, as consumer demand is improving, and the replacement cycle for small kitchen appliances continues to build. This quarter's sales decline in personal care is primarily due to investments we made transitioning our SKUs at major retailers. Combined with a pull forward of some e-commerce sales from Q4 into Q3 for July's Prime Day. We have seen some recent softness in personal care especially in hair care, is an important category for Remington. As we head into the holiday season, we are generally pleased with retail inventory levels are on a much better spot, especially for North American air fryers and toaster ovens than they were last year at this time. Sales anemia grew low double digits in both the home appliance and personal care categories. Led by growth in small kitchen appliances, garment care, hair care, and shave and groom. And sales in Latin America grew mid-single digits in both categories. Adjusted EBITDA was $19 million this quarter, which is $1.3 million lower than last year and adjusted EBITDA margin declined by 70 basis points driven by additional brand-focused advertising and promotions along with higher freight costs and unfavorable mix, partially offset by the higher sales volumes and cost improvement initiatives. Looking at full year results, we saw improving trends in the global business throughout the year, with second half sales growth almost fully offsetting declines in the first half. We were especially encouraged by the second half sales trends in North America with new SKUs in brick and mortar and outpaced growth in e-commerce sales. HPC's fiscal 2024 gross margins improved 690 basis points over last year. And adjusted EBITDA increased by almost 75% compared to last year. The incremental brand building investments helped communicate our innovation to retailers and consumers. From our Remington One launch early in the year and the success of our Remington Boulder, to the recent introduction of the PowerXL STIRmax multicooker a first of its kind slow cooker with an automatic paddle to stir and shred on its own. The STIRmax will be on shelves during this holiday season. Our BLACK and DECKER ice crush blender is one of our most successful blender launches in recent history. With wide shelf placement in both brick and mortar and e-commerce. As we look forward, we expect the second half global sales trends continue into fiscal 2025. We have new listings in both brick and mortar and e-commerce channels. And we expect the outpace growth in e-commerce sales to continue. Let's turn now to Slide sixteen and our expectations for 2025. We expect net sales to grow low single digits across all three businesses. With our brand building investments fueling top-line growth, and offsetting expected pressures from current geopolitical and economic conditions. Adjusted EBITDA, excluding investment income, is expected to grow mid to high single digits driven primarily from increased volume and cost improvement initiatives, partially offset by an increase in brand building investments, ocean freight inflation, and tariff exclusion expiration headwinds. And from a phasing perspective, we expect the impacts from increased investments to pressure comparisons to last year more heavily in the first half. Free cash flow conversion as a percent of adjusted EBITDA expected to be around 50%. As David mentioned, a focus this year has been getting our operational house order. Increasing our working capital discipline, expect to reach this milestone while increasing investments in inventory to support our e-commerce growth. We'll turn now to slide seventeen. Depreciation and amortization is expected to be between $115 million and $125 million including stock-based compensation of approximately $20 to $25 million. Cash payments towards restructuring, optimization, and strategic transaction costs are expected to be between $30 million and $40 million. Capital expenditures are expected to be between $50 and $60 million and cash taxes are expected to be between $40 million and $45 million.
Joanne Chomiak: Our estimated effective tax rate on continuing operations is 32%. This will be impacted by various quarterly discrete items. To end my section, I want to thank all of our global team members for their contributions delivering a strong fiscal 2024. I am confident we are set up well to have another successful year fiscal 2025. Now back to David.
David Maura: Hey. Thank you, Jeremy. And again, thanks everybody for joining us today. Happy Friday. Look. I'd like to take a few minutes here just to recap the key takeaways, and I think those are on slide nineteen. If you could turn to slide nineteen. As we close this 2024 and heading to 2025, I'm really proud of the year we've had. And I really do want to echo Jeremy and just thank all of our outstanding employees for their contributions over the last twelve months. This was a remarkable year. If you remember this time last year, we actually projected we would be down. But investing into our businesses, we actually delivered growth and as we've talked about, we returned our company to strong sales growth both in Q3 and Q4. As we ingressed it in upgraded talent, innovation, marketing and advertising. After facing significant challenges for the years, we've leaned into our competitive advantages. We've invested in our brands, our businesses, and our teams to drive this growth. We've delivered on our promises. We built momentum in all of the business units. We've set standards of operational excellence. And we've laid the foundation for the future. Most importantly, we did what we said we were gonna do, and we delivered on our commitments to all of our stakeholders. We made the important and significant decision to really step up and invest in our front office and our commercial capabilities with the $62 million increase in brand building investment initiatives. We expect to continue to realize the benefit of those investments in the coming year and we anticipate growing our investment levels as we see only as we see incremental return. As Jeremy said, we expect net sales to grow low single digits this year, and we expect adjusted EBITDA to increase mid to high single digits over the prior year. Excluding investment income. We expect fiscal 2025 to again be a challenging environment. But we believe we actually have the right strategy to succeed. While we have some concerns about geopolitical unrest, macroeconomic uncertainty, and the overall consumer health, our balance sheet strength, our operational efficiency, and our regain sales momentum in all three businesses give us confidence as we face into the future. And as I've said in my opening remarks, we believe fiscal 2025 is our year to thrive to accelerate, and to achieve further growth. I'll now turn the call back to Joanne, and we're really happy to take your questions.
Joanne Chomiak: Thank you, David. Operator, we can go to the question queue now.
Operator: Thank you. As a reminder, to ask a question, please press star one one on your keypad. To withdraw your question, please press star one one again. Our first question comes from the line of Peter Grom from UBS.
Peter Grom: Yeah. Thanks, operator. Good morning, everyone.
David Maura: Good morning, Peter.
Peter Grom: David, just on the HPC transaction, you mentioned geopolitical events contributing to a longer time frame. Maybe can you just unpack that a bit more and kind of what really changed between or transpired since August where I think you sounded far more optimistic? And then I guess just within that, has the outcome of the election the potential for tariffs change your view on that timeline or maybe the form of the HPC separation at all?
David Maura: Look. I think, you know, first, you gotta zoom out and, you know, a year ago, we had a business doing $40 million in EBITDA. And no. It's tough to spin that business out or sell it with that type of lackluster performance. And so, you know, what we really wanted to do is get that company humming again with a do different strategy with a new leader with Tim Wright. And look, I'm sitting here thrilled today, you know, to say we grew that EBITDA to $75 million plus in the last twelve months and we're forecasting increased sales and EBITDA growth, you know, for the next twelve months. So fundamentals always win. You gotta get those fundamentals right. And I think, you know, a lot of heavy lifting, you know, under the surface here to deliver that, but we're on a good, good path. Yeah. Look. There's no question. You know, you don't go through a, you know, a US election, you know, in that month of October and then, you know, you saw the Middle East flare up. I mean, those things not just for us, but I think across the M&A spectrum, you know, actually puts, you know, people put their pencils down. They take their time to see, hey, what's gonna happen. But we're updating you today. We're in talks with two of the buyers who wanna continue with us, and I'm getting on a plane to go meet one of them here in the next weeks. And, you know, we'll let you know if we get through a good deal there. But continuing to progress it, and we're gonna continue to manage the business for better fundamental performance going forward.
Peter Grom: Super helpful. And then just maybe a follow-up maybe for Jeremy. I mean, look, last year, you took a relatively conservative stance as it relates to the guidance. I just would be curious if you're kind of embedding kind of some flexibility given the uncertainty that you mentioned looking ahead. And then just what maybe within that, you know, any expectations, it was really helpful that they hear some views on top-line growth across the three segments. Just to be curious if there's some things we should be anticipating in terms of EBITDA growth from the three segments as we think about our models for which we got.
David Maura: Well, I'm gonna start it, then I'll give it to Jeremy. I mean, we tried to give a bunch of little bread crumbs, you know, in this press release and the rest of it. I mean, you know, the reality is we spent almost $26 million, you know, of incremental ad spend in Q4. So, you know, you guys are looking at, like, a $68 or, you know, $68.9 or $69 million EBITDA number for Q4. I think on the surface that disappoints you, but you gotta make these investments, you know, if you wanna take more share, if you wanna reignite your sales growth, and you wanna build terminal value in the future. And so, you know, we are seeing very fast returns on some of this investment, particularly the bottom funnel stuff. And we expect to get real market share, real sales growth, and create real shareholder value over the long term from them. But obviously, if you take that huge incremental advertising investment and add it back, you know, you could argue we could have reported $94, $95 million in EBITDA the quarter we just delivered. And so we're also trying to let you know, you know, the health of the earnings here is pretty robust, you know, to think you grew EBITDA 20% in a year and yet you burned it with that additional investment, you know, I think it speaks pretty highly to the quality of the earnings power and the underlying businesses. I'll turn it over to Jeremy. But yeah. Look. We, you know, last year, you're right. We had a conservative view. We and, you know, we wanna continue that track record. So, Jeremy, over to you.
Jeremy Smeltser: Yeah. I think that's a very fair point and good way to end your comments, David. You know, we do wanna continue that track record. You guys know that. We know it's important to our shareholders. You know, that said, you gotta think about a lot of variables as we build a full year model. You know, I think it starts with the top line. And what we've said is we expect to grow all three businesses low single digits pretty consistent with the last two quarters. So that should give some comfort and confidence. You know, why is that? I think, you know, it's a different story by each business. Right? I said in my prepared remarks, GPC is predominantly premium brands, and it's a more difficult environment for premium brands in this economy. There's no doubt. So while we think we grow low single digits, it's not where we'd like to be. But that's what's happening. You know, you think about aquatics hard goods, those are high ticket new entrance items. And in this economy, that's just difficult for consumers. So we're working on that with our retail partners to try to promote, try to invest a little bit, to get more people in the category. But it's a hard decision for consumers right now and we have to recognize that. In Home and Garden, you know, we had an excellent year, 8% growth, in 2024. Value brands. Right? So it's the right economic environment for those brands. It's the right environment for trade downs as our consumers, you know, bring things from third party suppliers for their yards and homes and do it themselves. We're right there for them, and it's great. And so we expect to continue to grow, but we have a pretty difficult comp at 8% growth last year. So, again, low single digits. And in the HPC business, historically, this has been a lower growth category. So the low single digits make sense to us. We do have, you know, some opening price point brands in there, particularly Black and Decker in the US that is doing well with new SKUs because of where it's positioned. And it fits well with many of our retail partners strategies with their consumers as they focus on opening price points. So that's the thought process on the top line, and that's where we're headed. I think, you know, there was a lot of volatility in the spending and brand investment. So you heard David say we intend to even that out throughout the year to make it, you know, easier to model the business and quite frankly, to keep the content we're creating in front of our consumers on a consistent basis, you know, every month, every quarter. And then, you know, do we have to deal with from an expense perspective? We have some ocean freight headwind we talked about. We think the majority of that's behind us based on what we're seeing, and we have good contracts for 2025. But those dollars have basically already been spent and they're in inventory and they're gonna hit us in Q1 and Q2. So gotta face that on the bottom line. And then we mentioned, you know, there was a tariff exclusion exemption that expired in June, I believe, in the HPC business, and that's about an $8 million headwind for them. So, you know, we are taking, I think, a right prudent approach to the year. You know, I think we're cautious on the economy. And I'll probably leave it at that as it relates to we approach the forecast.
Peter Grom: Awesome. Thank you both so much. I'll pass it on.
David Maura: Thanks, Peter. Have a good one.
Joanne Chomiak: Thank you. One moment for our next question. Our next question comes from the line of Bob Labick from CJS Securities.
Bob Labick: Good morning. Thanks for taking our questions.
David Maura: Hey, Bob.
Bob Labick: So, obviously, a big theme has been leaning in on investments to drive growth. Current and future growth. And so I was hoping maybe you could dig down a little bit there and talk about, you know, take your words, you know, kind of where the investment is at the top of the funnel, where it is at the bottom of the funnel, and how you know, how you're making those decisions and, like, where you stand now on that investment spending and how that will change in the future.
David Maura: I mean, I can take a crack at it. I mean, you know, you clearly see, you know, the results coming in terms of, you know, restoring the sales growth. You know, the spend, you know, was big and lumped with there as Jeremy just commented. I think, you know, the early spend in the year, we're mostly bottom funneled, you know, really making sure that we got very high, very quick returns on capital. And we wanted to restore the earnings power of the business. Right? I mean, so, you know, look, we just grew EBITDA from, I think, the $270s to almost $320. We tend to grow that EBITDA level, you know, higher over the next twelve months. You know, but we are doing some, you know, heavier top funnel stuff now, which does have a longer term payback. But it is important to build that brand equity to be able to take shelf space, to get our retail customers excited about the storytelling we're doing on some of our new product launches and new adjacencies. I mean, we just watched the pet asset trade 48 hours ago for 17 to 22 times EBITDA. Now they happen to be more in the cat space than we are. They tend to be more food related. But we see a fantastic opportunity in cat. And, you know, we want to take this good and fun brand. We want to really create a halo around good and tasty doing a lot of test and learning with our digital, you know, counterparts. Retail customers, and we're seeing some really exciting early returns there. So, you know, I want to get us to move bigger and faster, so we can get more of an allocation of our businesses toward these higher growth markets, which are food, cat, and wellness. And so, you know, that's part of the calculus. Jeremy, you want to add to that?
Jeremy Smeltser: Just maybe a little more color. So about 10% of that increase was in R&D itself, which is obviously a longer term play, Bob. You know, over 50% was in bottom funnel with the vast majority of those dollars focused on e-commerce where we had, you know, an outstanding year. But part of that, frankly, is getting our fair share of where our consumers are going, particularly in the appliance business where, you know, the market has moved dramatically to online. And then in second half of the year, it is more top of funnel and content creation. And, you know, that's really more at the 2025, 2026, you're gonna start seeing our brands more on streaming, some on actual cable and sports, etcetera. Network. But, yeah, we're gonna be positioned very differently twelve months from now with these brands based on the dollars that we're spending now, and we're building the mechanisms to track returns on that, and we'll be nimble and adjust. I'll tell you that, you know, about beyond that 10% that was in R&D, you know, it's relatively split fairly equally between marketing and advertising, which is kind of an indicator of top funnel versus bottom funnel.
Bob Labick: Got it. Okay. Great. Super helpful, caller. Appreciate that. And then just quickly on the HVAC, HPC. Obviously, you've discussed, you know, the factors and whatnot. What will determine the timing right now? When will you when would you expect to have greater clarity on the timing of the HPC separation, I should say? And is there a scenario where it's part of Spectrum and fiscal 2026?
David Maura: You know, the M&A is fluid. As you know, it's unpredictable. I mean, you know, there's no question I kind of hope to have a deal done by now. And so we've called in a release. We do think that leading up to an election and the outcome of that election and Middle East stuff is definitely cost us thirty plus days, but, you know, we're actively pursuing it. And, you know, we'll update you when we can. It's kind of hard to comment beyond that, but look, again, I think the key thing we're trying to tell you is we're working really hard to make that a much better business, you know, and we're getting a lot of good results. So, you know, we'll continue to look at ways to do the best we can to maximize shareholder value. You know, I think look, I think, you know, really what you should look at too is, I mean, the fact that we're 0.5 turns levered and we're getting earnings growth really humming again in pet, home, and garden, we continue to trade. It kind of I think you're ridiculous. Multiple. So there's just lots of upside here still to be add in and the balance sheet gives us that optionality to make that happen. So I'm very bullish on the outlook for 2025 and we'll do our best to optimize value for appliances.
Bob Labick: Super. Thanks so much.
Joanne Chomiak: Thank you. One moment for our next question. Our next question comes from the line of Chris Carey from Wells Fargo Securities.
Chris Carey: Hey. Good morning, guys.
David Maura: Good day. How are you?
Chris Carey: Good. I wanted to see if you could expand on the underlying health, but your performance of the pet business, the $10 million benefit in the quarter, should we just reverse that out in Q1? And then just from a broader perspective, you know, Jeremy has highlighted more premium offerings. You're posing a challenge for consumers. I understand the retailers are also pushing private label. Just maybe if you just take a step back on the performance and competitive nature in the pet segment and how much visibility you have this year and maybe over time it that that'd be helpful just to get, you know, some broader thoughts on the business given some of the some of the moving pieces, you know, this year and going into next year.
Jeremy Smeltser: Yeah. I mean, I think, you know, I'll start, and David could add any comments. The visibility is decent. You know, if you look at the top line, you know, it's in dollars. It's been relatively consistent over the last four quarters. Yeah. This timing of the S4 HANA situation does impact about $10 million. But visibility is decent, you know, in brick and mortar. We're still seeing, you know, annual line reviews. You're right. We do have some retailers. They're very focused on private label, and we're, you know, there to support them. Our brands are still in those brick and mortar channels, we're still important to them, but, you know, as they push consumers or they believe their consumers are pushing themselves more towards private label, it makes it more challenging us for us to reach that, you know, mid-single digit top line growth that we'd like to be seeing out of the business. That said, it's pretty stable, you know. And again, you know, seeing growth in aquatics consumables the last two quarters is something that we, you know, are happy to see. But it's just very difficult, you know, other than entry level, it's very difficult consumers right now to make that, they'll call it $700, $800 either ticket decision on a large new environment for their homes, you know, given the uncertainty that they're seeing in the higher interest rates. And I think we'd have to bear with that as it go through 2025. It's still an excellent business. You know, it is while low growth, it's low cap action. It generates very good margins for us. And it is a razor razor blade model with the food and co additives. So that's, you know, that's kind of the environment. I'm not surprised based on the overall macro environment that, you know, low single digit is where we're at. We're gonna push hard to do more. You know, all of David's commentary on what we're doing with marketing and advertising, including innovation with new listings and in cat treats and dog and cat food toppers, I think we're moving all the levers that we need to but we are facing a bit of an uphill grind with the economy right now.
David Maura: Listen. Let me chime in on because you made a good observation on private label, except mean, I think if you look at the last twelve months, we're telling you we still had some, you know, revenue in that division that we fired, you know, basically with SKU exits and rationalization. And, you know, just because private label is, you know, doing a little bit better now, look, you know, we told you earlier, we have a national ad campaign for the first time on our Goodnfun business. Goodnfun was a brand we bought. It was like $50 million of revenue when we got it. We're doing over a quarter billion dollars in just under that brand alone now. You know, I wanna grow that to a half a billion dollar business. And, you know, to do that, you know, you've gotta advertise. And so there is a decent chunk now of top funnel advertising going there. Not just to defend that brand against private label, but to storytelling and the content creation about why that product is better than private label and then the adjacencies we can go in. That's really exciting. And I'll and look, I'll lean in a little bit with you and help you out. I mean, we started fiscal 2025 in good shape. You know, October, you know, which we just completed, actually beat our expectation. And we see sales and EBITDA growth in Pet this current quarter. You know, despite that pull forward. So we're in good shape. And we're gonna lean in.
Chris Carey: Okay. Great. One quick follow-up on Garden. I think one of your competitors was also talking about some lingering inventory exiting the season just because of how strong fall was and how long retailers stuck around. Did I hear you correctly that you're planning for, I guess, a bit more, I don't know. I don't wanna say cautious, but like, perhaps some lower, you know, retail ordering in the front half of the fiscal year in Garden. As they assess as retailers assess the season. And so is that gonna be more of a back half loaded year? I just wonder if you could dig a bit deeper into that comment around, you know, late season inventories and how it's gonna impact the front half of your year and garden.
Jeremy Smeltser: Sure. Yeah, Chris. So yeah. I mean, other comments are really around what we're hearing from retail partners on their expectations for the coming season, which, you know, we're in constant communications with them on those things. And we seem to be hearing a bit of a consensus that they're expecting a cooler start to the spring next year, which, you know, I think is pretty difficult to predict sitting here in mid-November, but that is a consensus hearing from them and hence our comments that, hey, it maybe is a bit slower start to ordering from the retailers and, you know, don't be surprised you see that. From our perspective, I think we had a slightly favorable weather season in 2024 to what I calling normal. Weather season. And so I still think with a normal weather season, we still grow. Low single digits as we talked about on this call, but, you know, we just wanna get that out there because we are hearing it from our, you know, three largest retailers, and they are obviously incredibly important to our overall sales and timing of sales.
Chris Carey: Okay. Makes sense. Thanks.
Joanne Chomiak: Thank you. I would now like to turn the conference back over to Joanne Chomiak for closing remarks.
Joanne Chomiak: Thank you. And with that, we have reached the top of the hour, so we will conclude our conference call. Thank you to David and Jeremy. And on behalf of Spectrum Brands, thank you all for your participation.